Operator: Good day, ladies and gentlemen and welcome to the Exelixis’ Third Quarter 2014 Financial Results Conference Call. My name is Chris and I will be your conference moderator for today. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. And now, I would like to turn the call over to your host for today, Ms. Susan Hubbard, Investor Relations. Ma’am, you may proceed.
Susan Hubbard: Thank you Chris and thank you all for joining us for the Exelixis third quarter 2014 financial results conference call. Joining me on today’s call are Mike Morrissey, our President and CEO; Debbie Burke, our Chief Financial Officer; and Gisela Schwab, our Chief Medical Officer who will together review our corporate, commercial, financial, and development progress for the quarter ended September 30, 2014. Peter Lamb, our Chief Scientific Officer is also with us and will participate in the question-and-answer session of the call. As a reminder, we are reporting our financial results on a GAAP basis only and as usual the complete press release with our results can be accessed through our website at exelixis.com. During the course of this presentation, we will be making forward-looking statements regarding future events or the future performance of the company, including statements about possible future developments regarding clinical, regulatory, commercial, financial and strategic matters. Actual events or results of course could differ materially. We refer you to the documents Exelixis files from time-to-time with the Securities and Exchange Commission and in particular the company’s quarterly report on Form 10-Q filed today. These documents contain and identify under the heading Risk Factors important factors that could cause actual results to differ materially from those contained in any forward-looking statements, including without limitation, the availability of data at the reference times, risks and uncertainties related to the initiation, conduct and results of clinical trials, risks and uncertainties related to the regulatory approval processes and compliance with applicable regulatory requirements, Exelixis’ ability to maintain its rights under collaboration, the sufficiency of Exelixis Capital and other resources and market competition. With that, I will now turn the call over to Mike.
Mike Morrissey: Alright, thank you Susan and thanks everyone for joining us on the call today. We had a busy third quarter and I will take a few minutes to review the three key drivers of our business before turning the call over to Debbie and Gisela for a detailed review of our financial and development highlights. First, the enrollment in METEOR, our Phase 3 pivotal trial in metastatic second line RCC is nearly complete. We are now confident that we will meet our enrollment goal of 650 patients in the coming days, which allows us to be more specific about our timelines for when we expect this study to read out. We now expect top line results for that trial’s primary end point progression free survival in the second quarter of 2015. Gisela will provide more details in the development update section of today’s call. Second, we continue to be pleased with the development and regulatory progress made with cobimetinib by our partners Roche and Genentech. The positive Phase 3 results from the coBRIM pivotal trial evaluating cobimetinib in combination with Vemurafenib in first line BRAF mutant positive metastatic melanoma were recently presented at ESMO. Based on these data Roche has completed the MAA filing for the combination of cobimetinib and Vemurafenib in the EU. In the U.S. cobimetinib has received Fast Track designation from the FDA and Genentech expects to complete its NDA filing for the combination before the end of this year. We and our colleagues at Genentech continue to make progress in our U.S. commercialization planning, including our involvement in the promotion of cobimetinib if and when approved. As a reminder we are entitled to receive revenue from the profit share agreement in place for the U.S. market and double-digit royalties on product sales outside of the U.S. Third in regard to the company’s financial guidance and cash position, we continue to expect to end the year with greater than $200 million in cash and cash equivalents. Given our recent, rapid actions to reduce operating expenses, we now expect that this cash position will be sufficient to support the business beyond the media readout in Q2 of next year and to the end of 2015. This guidance assumes no receipt of additional funds from either business developments or financing activities. We also expect to exercise our option to extend the maturity date of the Deerfield notes from July 1, 2015 to July 1, 2018 as provided for by the January 2014 amendments to the note for disagreement with Deerfield. We have until March 31, 2015 to exercise this option. So with that I will close by thanking all of our fantastic employees including those that have recently departed as part of our restructuring for their steadfast efforts in support on behalf of patients with cancer everywhere. There is no doubt that we had a challenging couple of months but our focus and urgency are unwavering as we move forward towards key milestones in the remainder of this year and throughout 2015. So with that I will turn the call over to Debbie.
Debbie Burke: Thanks Mike. I am pleased to provide you with the highlights of our financial performance in the third quarter of 2014. I will refer you to our press release and today’s 10-Q filing for additional details. Net revenue for the quarter was $6.3 million consisting entirely of product revenue from the sale of COMETRIQ. Product revenues for the third quarter is net of $1.8 million project management fee due to our European distribution partner Sobi with an additional $600,000 expected to be recorded in the fourth quarter of this year. These fees are tied to our expectation that they will have purchased a targeted amount of COMETRIQ by the end of 2014. And beyond that there are no further fees of this nature expected in the future despite the unusually large offsets for Q3 ‘14 COMETRIQ net sales increased 32% over the same period last year. Sales growth in the U.S. was driven by increases in treated patients as well as extended treatment duration per patient. R&D expenses for the quarter were $43.6 million versus $47.4 million for the same period last year. The decrease of $3.7 million in R&D expenses is primarily due to cost saving initiatives we launched following the negative COMET-1 results that we reported in September. The savings are primarily due to personnel related expenses, in particular the reversal of the company’s bonus accrual for 2014 and a reversal of stock-based compensation expense previously recognized in connection with the performance options issued in anticipation of positive COMET-1 data. SG&A expenses were $9.9 million for the quarter versus $13.6 million for the same period last year. The decrease of $3.7 million as compared to Q3 last year was primarily due to lower professional fees, including lower patent costs, lower personnel related savings similar to the R&D personnel expenses I spoke about and lower consulting costs. These cost savings were offset in part by pre-commercial preparation expenses due to Roche/Genentech in connection with our share of the cobimetinib co-promote expenses. Restructuring charges were $3.8 million for the quarter versus $100,000 for the same period last year. The restructuring charge for Q3 ‘14 was particularly related to employee termination benefits and asset impairment charges resulting from the restructuring plan initiated in September 2014. Total operating expenses for the quarter were $57.9 million, the decrease of $3.5 million as compared to Q3 last year reflects the changes in R&D and SG&A I spoke about offset by the increases to the restructuring expenses. For other income and expense, we incurred a net expense of $11 million compared to $11.2 million in Q3 last year. Included in the 2014 amount is $7.5 million of non-cash interest expense related to the accretion of discounts on both our convertible senior subordinated notes and financing arrangements with Deerfield. We ended the quarter with $293.5 million in cash. I will provide you with an update of our financial outlook for the remainder of 2014. As Mike stated, with regard to our cash guidance, we are maintaining our guidance to end 2014 with greater than $200 million in cash and further expect that will provide sufficient financial resources to support our business through the full year of 2015. With regard to operating expenses, we are tightening our previously provided guidance of $250 million to $280 million and now anticipate the full year 2014 operating expense will be in the range of $250 million to $260 million. This range includes the employee termination benefits and asset impairments related to our restructuring activities but does not include any restructuring costs associated with potential building exits. With that, I will pass the call to Gisela.
Gisela Schwab: Thank you, Debbie. I will focus my cabozantinib development based on our Phase 3 trials as renal cell cancer, prostate cancer, medullary thyroid cancer, and hepatocellular cancer. And for the press release we issued along with our earnings release today, I will also provide an update on progress in our CTEP program evaluating cabozantinib in non-small-cell lung cancer. At the end of my remarks, I will provide a brief update on XL888, our wholly-owned HSP90 inhibitor that is being evaluated in BRAF mutated malignant melanoma in combination with vemurafenib. As you know, we are intensely focused on exploring and ultimately expanding the cabozantinib opportunity across multiple cancer indications. We have a broad strategy in place for evaluating the compound in a variety of indications, using internal resources to support Phase 3 trials and working in partnership with a wide array of individual physicians and cooperative groups through our collaboration with the National Cancer Institute’s Cancer Therapy Evaluation Program or CTEP and an investigator-sponsored trial program to enable evaluation of cabozantinib in earlier stage exploratory trials. So, starting with renal cancer, the completion of enrollment in our Phase 3 trial METEOR is the company’s highest priority in 2014. Top line data for the primary endpoint of PFS (Technical Difficulty). I am pleased that enrollment in this study has proceeded very well. The trial was initiated about 15 months ago and is now nearing completion of enrollment. Patient screening has stopped recently and the last patients are now entering the study. So, we expected to complete enrollment of the required 650 patients within the next few days. I would like to briefly review the trial design and assumptions for you. The study is evaluating cabozantinib versus everolimus in a randomized open label fashion. The patient population is second or later line metastatic clear cell renal cell cancer. Patients must have received and failed at least one prior VEGFR tyrosine kinase inhibitor and enrollment is stratified by the number of prior VEGFR inhibitors received, one prior therapy versus more than one prior therapy and risk factors according to the MSKCC classification. The primary endpoint is progression free survival or PFS and secondary endpoints include response rate and overall survival. PFS is assessed by an independent radiology committee that is blinded to the treatment assignment of the patients. 650 patients will be enrolled in the study. The primary analysis is based on the PFS observed among the first 375 patients enrolled. This will ensure sufficient follow-up and a PFS profile that is not weighted predominantly towards early PFS events, which could happen if the whole study population of 650 patients that is required for the assessment of overall survival served as the denominator for the PFS analysis. The 375th patient was enrolled in June 2014 and the median patient in this group was enrolled in early Q2 2014. Under the assumptions of the trial was an assumed five months median PFS in everolimus and an assumed 7.5 months median PFS for the cabozantinib arm, we now anticipate that top line data for PFS will be available in the second quarter of 2015. Given the rapid progress on the trial the team is highly focused on collecting the data and preparing for an analysis of the primary endpoint in this timeframe. Now moving on to CRPC, we are working on the full analysis of the COMET-1 study for which we have announced top line results in September showing that the study had not met its primary endpoint of improving overall survival, but that progression free survival was improved for cabozantinib – okay to prednisone. We anticipate presenting a complete analysis at an upcoming conference in 2015. COMET-2, our second Phase 3 study in CRPC step patient enrollment in September and we continued to expect top line data for COMET-2 before the end of this year. This study is assessing pain response comparing cabozantinib versus mitoxantrone/prednisone in metastatic CRPC patients who have previously received docetaxel and abiraterone and/or enzalutamide and are suffering from moderate to severe pain due to metastatic bone lesions despite narcotic medication. Once all data from COMET-1 and COMET-2 are available we will formulate our regulatory strategy for CRPC if any. Now moving on to MTC, EXAM is our Phase 3 study in patients with progressive unresectable locally advanced or metastatic medullary thyroid cancer that compared cabozantinib versus placebo. EXAM results led to the full regulatory approval of COMETRIQ for patients with progressive metastatic MTC in the United States in late 2012 and to conditional approval in the EU in early 2014. The approvals were based on the results of the primary endpoint of progression free survival showing a 2.8-fold longer median progression free survival for the cabozantinib arm compared to placebo. At the time of the PFS analysis in October 2011, the study was unblinded and placebo patients were allowed to receive other available therapies. Overall survival is a secondary endpoint that was to the annualized once a total of 217 death events have been reached. With an additional three years of follow-up the 217 death events required for the analysis have recently been reached and top line final results for OS are now available. These data are in line with what has been previously seen in an interim analysis for overall survival in 2012. The estimated median overall survival for the cabozantinib arm was 26.6 months and 21.1 months for the placebo arm for an HR of 0.85 and a p-value of 0.2409 which is not statistically significant. It is important to remember it that given the rare patient population the study overall was relatively small for the assessment of overall survival. The study had 80% power to detect a 50% improvement in overall survival with statistical significance. Additionally, more placebo patients than cabozantinib patients received subsequent anticancer treatments, including tyrosine kinase inhibitors and cabozantinib itself after unblinding of the study and as cabozantinib became commercially available. Such subsequent treatments may have muted between arm differences in the setting where OS is relatively long despite the requirement for progressive disease at study entry. Pre-specified subset analysis included mutational status. RET is a tyrosine kinase that is frequently mutated in patients with medullary thyroid cancer. Of particular interest in MTC is the most frequent RET M918T mutation which is present in 40% to 50% of the population. This mutation is generally associated with a poor prognosis in MTC. The subset analysis among subjects positive for RET M918T mutation showed a large and statistically significant overall survival benefit of 25.4 months with median overall survival for the cabozantinib arm of 44.3 months and a median overall survival for the placebo arm of 18.9 months for an HR of 0.6 and a p-value of 0.026. Patients in the RET M918T negative or unknown subgroups showed no decrement in overall survival for cabozantinib. Overall, the outcome of the survival analysis supports the previous data on progression free survival showing a benefit for cabozantinib. The 5.5 months improvement in overall survival in the total population is clinically relevant although it did not reach statistical significance. Overall survival benefit was most pronounced in the subgroup of patients with the RET M918T mutation which represents about 40% of the patients enrolled in the study. We intend to submit these results to both the U.S. FDA and EMA in the first half of 2015 as part of our post-marketing commitments. This may potentially lead to label updates in the future. And lastly, regarding the Phase 3 studies, an update on HCC. Our CELESTIAL trial in second line HCC patients who received prior sorafenib comparing cabozantinib versus placebo is also proceeding well. It is actively enrolling globally and is designed to enroll 760 patients randomized in the 2 to 1 ratio to cabozantinib versus placebo and the primary endpoint is over (Technical Difficulty) is CTEP program. We are now beginning to see data from the CTEP program and of particular interest are the randomized Phase 2 studies, CTEP has initiated in the cooperative groups in 2012. The first study to report our data is the ECOG-ACRIN study E1512, which is a randomized Phase 2 trial designed to enroll patients with second or third line EGFR wild-type non-small cell lung cancer who have failed at least one prior chemotherapy. Patients were randomized 1:1:1 to receive erlotinib, cabozantinib, or erlotinib plus cabozantinib. The primary objective of the trial is to determine whether single agent cabozantinib or combination therapy including cabozantinib and erlotinib extends progression free survival when compared to single agent erlotinib for this patient population. Secondary objectives include estimation of overall survival, best objective response, and toxicity. The total required sample size for randomization was 117 patients using an overall one-sided 0.1 level log rank test. The trial was powered at 90% to show a 100% improvement in the median PFS of 2.4 months on erlotinib alone to 4.8 months on cabozantinib alone or on erlotinib plus cabozantinib. The number of PFS events needed to achieve this power for each comparison is 58 events. Earlier this year, 125 patients were randomized in E1512 to one of the three arms erlotinib, cabozantinib or the combination of erlotinib and cabozantinib. Very recently, we were informed that during a preplanned interim ECOG-ACRIN Data Safety Monitoring Committee analysis for futility, it was found that the trial met its primary endpoint of improving progression-free survival with cabozantinib alone and also with the combination of cabozantinib plus erlotinib as compared to erlotinib alone and the results were highly statistically significant. Safety data were consistent with those observed in other trials of cabozantinib. At the time of analysis, the median follow-up was 5.9 months and overall survival data were immature. We cannot share the details of the data today in order to preserve the ability for presentation of this Phase 2 study at an upcoming scientific conference, as we are excited about the outcome of this study and about working with the investigators and potential future studies. We look forward to updating you on the progress as we have more study details and definitive timelines. Now, before handing the call back to Mike, I’d like to briefly update you on XL888, another wholly-owned compound that was discovered by Exelixis. XL888 is a small molecule oral HSP90 inhibitor. Several years ago we had conducted a single agent Phase 1 study with XL888. Given the subsequent prioritization of our cabozantinib program, the development of XL888 was paused until investigators from Moffitt Cancer Center requested access to the compound in order to initiate an investigator-sponsored Phase 1 trial evaluating the combination of Vemurafenib and XL888 in malignant melanoma. This study was based on preclinical evaluation of the activity of XL888 and Vemurafenib resistant malignant melanoma models conducted by researchers at Moffitt. While Vemurafenib is clinically active in metastatic BRAF V600 mutant melanoma patients, resistance development is common. Multiple resistance mechanisms involve HSP90 clients such as BRAF and the preclinical data showed abrogation of resistance using treatment with the HSP90 inhibitor XL888. We have recently been notified that the results of the Phase 1 IST of XL888 and Vemurafenib in patients with metastatic melanoma will be presented as a late-breaking oral presentation at the Society for Melanoma Research in mid-November in Zürich at Switzerland. Also given the successful outcome of the Phase 3 coBRIM study of Vemurafenib and cobimetinib, the Exelixis discovered MEK inhibitor that was presented at ESMO in Madrid last month. The team is now planning a Phase 1 triple combination of Vemurafenib, cobimetinib and XL888 in patients with metastatic melanoma. We look forward to keeping you up-to-date on the progress of this compound. And with that, I will hand the call back over to Mike.
Mike Morrissey: Alright, thanks, Gisela. I will keep my closing remarks brief, so we can get to your questions next. While the third quarter of this year was clearly a challenging time for the company, we move decisively and rapidly to effect the change necessary to focus all of our resources on the next significant driver for the business that is the readout of the METEOR study now expected in the second quarter of 2015. We’ve laid there milestones on the horizon between now and then, including potential regulatory progress with cobimetinib and we look forward to updating you on this progress. So, we will stop here and I thank you again for your interest in Exelixis and we're happy to open the call for questions.
Operator: Thank you. (Operator Instructions) And our first question comes from the line of Edward Tenthoff (Piper Jaffray). You may proceed.
Debbie Burke: Ted, are you there?
Edward Tenthoff - Piper Jaffray: Yes, can you hear me?
Debbie Burke: We sure can.
Edward Tenthoff - Piper Jaffray: Okay, great. Thanks for the update on all the programs, including cobi as well as our cabozantinib and the other programs. I guess my question has to do a little bit around the erlotinib data. And please take this in the right way, because we have seen multiple Phase 2 hits here if you will that then we see move into Phase 3 studies where we don’t see necessarily the study read-out positive. So, what is it that we need to do or that we need to see to replicate some of these Phase 2 findings to get some – to get a win with cabo, for example, in lung cancer as we just saw the top line data or some of the other indications as that might crop up from the CTEP studies?
Gisela Schwab: Yes, thank you. The study results, which is very recently shared with us by ECOG-ACRIN and so we can’t really discuss the data in detail at this point in time, and it will take a while to digest the data and discuss further plans if any as we go forward with – and speak with the investigators about the data.
Mike Morrissey: Hey, Ted, it’s Mike. I think it's probably best if we delay answering that question, which is a good one, until we actually have a data available to be presented. I think in that context, once you see the data it'll make that next discussion of what we do next, how we operate next trials I think a much more relevant discussion.
Edward Tenthoff - Piper Jaffray: Fair enough. And when should we expect that?
Mike Morrissey: I think it’s up to the investigators to figure that one out. Again, the data is relatively fresh, so once we know and they make that public, we'll share that with you.
Edward Tenthoff - Piper Jaffray: And then just last question if I may, on cobi, what are next steps and when should we anticipate that filing?
Mike Morrissey: So, next steps are, as I mentioned in the prepared remarks is to have the filing completed with the FDA and Genentech and Roche continues to guide that will happen in 2014. So that's our expectations. We are having very good discussions with them around kind of pre-commercial launch type activities, in discussions and as we know more and as we can say more based upon their public announcements, we'll share that with you as well.
Edward Tenthoff - Piper Jaffray: Great. I appreciate it Mike. Thanks so much.
Mike Morrissey: You bet. Thank you.
Operator: And next question comes from the line of Eric Schmidt (Cowen & Company). You may proceed.
Eric Schmidt - Cowen & Company: Thanks for taking my question and thanks for all the updates. Maybe just on COMET-1, you’ve had the data now for a few months. Is there anything you’ve learned by going over the results that can help you understand maybe the shortcomings of the trial design or the drug and make you think differently about it or might be applicable to how you conduct BDR going forward?
Gisela Schwab: Yes, I think it’s fair to say, we still are working through the data to launch trial basically and a lot of data coming in. I think – but we’ve said in the past, it’s holding true to the state and that is that the cabozantinib ARM performed very much in line with what is expected from the prior experience in the non-randomized extension study. The placebo ARM performed better than anticipated, and we're looking at all the aspects of subsequent anti-cancer therapy, etc. and that could have contributed to that. And we're anticipating that we will present full data at an upcoming meeting in 2015.
Eric Schmidt - Cowen & Company: And then on EXAM, do you have the data broken out for these non-RET mutant subsets, was there any trend in survival in that group and if not should the drug only be reserve for RET mutant patients?
Gisela Schwab: So, the group that did the best in the subset analysis is the RET 918T subset and that is consistent with what has been observed in the interim analysis, be as well and the survival difference between treatment ARMs was 25.4 months, a quite considerable for this 40% of the patient population. In the other subgroups, we did not see decrement in overall survival and as you know the drug was approved on the basis of progression free survival, received full approval in the United States and the progression free survival was quite pronounced of 2.8-fold between treatment arms. So, that holds true still. So, I think most striking to us is the market gain and overall survival in the RET 918T population. Turning to your question, should patients be tested prior to receiving the drug that is currently not the standard and not in the United States and not in Europe, that is being done for research purposes mainly, but not for clinical trial decisions and that’s an evolving field I would say.
Eric Schmidt - Cowen & Company: And then as you look toward METEOR, again, I know the primary endpoint is PFS, but in your discussions with the FDA, is there you think a need to show either a trend or statistical significance on the survival of secondary endpoint?
Gisela Schwab: So, progression-free survival as you know has been the basis of approval for many drugs and several drugs in renal cell cancer and we have certainly had discussions with FDA and other regulatory bodies and found that to be acceptable. We are following patients for overall survival and the expectation in the – about the regulators and our hope is that there will be no decrement and that is the package that would go forward.
Eric Schmidt - Cowen & Company: Thank you very much.
Operator: Next question comes from the line of Brian Klein (Stifel). You may proceed.
Brian Klein - Stifel: Hi, guys. Thank you for taking my questions. So, first on the lung cancer trial, which you just reported some positive data on, just wondering how relevant is the usage of Tarceva in the wild-type second line and end plus population and how frequently is Tarceva being used in that setting?
Gisela Schwab: So, Tarceva is approved regardless of the status in terms of EGFR mutations and was in the basis of BR.21. I think it’s fair to say in the second line and later line setting of EGFR wild-type non-small cell lung cancer patients, multiple agents are being utilized and those include the traditional agents such as docetaxel or Alimta or Tarceva for that matter. And in terms of the frequency, I couldn’t quote that off the top of my head.
Brian Klein - Stifel: Okay. Just I am wondering how relevant is that comparator arm in the current treatment paradigm?
Gisela Schwab: I think it’s one of the main treatments utilizing the population. So, it is a relevant comparison and there are others such as docetaxel that perhaps resulted in similar progression free survival duration as has erlotinib.
Brian Klein - Stifel: Okay. And then I am just following up on Eric’s question given prior experience with tivozanib AVEO’s compound, which showed a positive PFS benefit within an overall detriment and survival, has there been any specific communication with the FDA regarding survival data at the time of the submission. Would that be required for you to file your NDA in renal cell pending positive PFS data?
Gisela Schwab: So, the plan is the overall survival, much likely for the EXAM study, the overall survival data would be mature much later than the PFS stage it would be. So, the expectation and the discussed revenue forward is that this trial was (Technical Difficulty) interim analysis at that point in time for overall survival and that would be part of the package. Also importantly, I think as you know, there is no crossover built into this study as patients progress. So, there is no systematic crossover as was done in the TIVO trial.
Susan Hubbard: Did that answer your question? Operator, can we go ahead now to the next question then, please?
Operator: Our next question comes from the line of John Sonnier (William Blair & Company). Please proceed.
John Sonnier - William Blair & Company: Thanks for taking the question and thanks for the update. It sounds like its early days with the lung data, so I will stick to what is more of a design question, Gisela, it’s really around the use of the log rank test and was the determination to use that methodology based on the small cohort sizes, A. And B, do you know if they ran other statistical test to confirm significance?
Gisela Schwab: The log rank test is a commonly used statistical methodology and the 0.1 cutoff is a commonly used cutoff in Phase 2 obviously the hurdle in Phase 2 is a little bit lower than in Phase 3, so as to come to conclusions with the smaller sample size.
John Sonnier - William Blair & Company: Got it. Okay. That’s kind of what I thought and do you know whether or not they ran other tests I mean it might have been interesting to look for example the two monotherapy arms on a t-test is to see if the p-values were close?
Gisela Schwab: The details of the data are – we are not privy to at this point in time, so these details would be revealed I think and discussed in future presentations.
John Sonnier - William Blair & Company: Okay. And the other observation and it might be one you can comment on from a biological standpoint was if I am reading this right, this exponential survival analysis, it looks like there was just a lack – a complete lack of interaction when the two drugs were combined at least on that outcome and the question is whether or not that would have been expected?
Gisela Schwab: So, what you are referring to is deputed both arms the cabozantinib single agent arm and the combination showed a highly statistically significant benefit over the…
John Sonnier - William Blair & Company: Well, 4.8 months, right it looks like when you did…
Gisela Schwab: But the assumption you are right, that was the assumption going in.
John Sonnier - William Blair & Company: That’s the assumption going on?
Gisela Schwab: Yes, that was the design assumption going in. That’s not the real data. That’s the design assumption going in.
John Sonnier - William Blair & Company: Got it. Okay. Thanks for the clarification.
Gisela Schwab: Sure.
Operator: Our next question comes from the line of Biren Amin (Jefferies). You may proceed.
Biren Amin - Jefferies: Yes. Thanks for taking my questions. I just wanted I guess ask some questions around COMET-2, how many patients were enrolled when the study was halted in September and you make a statement saying that there may be path forward depending on totality of data I guess what type of a situation will that be? Thanks.
Gisela Schwab: Sure. In terms of the numbers of patients we haven’t communicated details in the study we would anticipate doing so when we actually come to data before the end of the year when we have a top line outcome of the study. Regarding the package that might not support regulatory pauses, I think it’s a little bit premature to say, so just prefer to wait for the data and then assess the totality of the data and go forward and determine a regulatory path if any really.
Biren Amin - Jefferies: Okay. And then, Mike maybe a question on XL888, how do you think about this compound strategically would you try to develop this on your own or would you look for a partnership?
Mike Morrissey: Yes. So it’s certainly very interesting compound we have had in our stable of compounds for a few years now. We are certainly excited about having the data come out in a few weeks in Zurich. I think it’s best to answer that question once we have the data out, but certainly we are looking at all options and considering a number of different pads for that compound.
Biren Amin - Jefferies: Great. Thanks.
Operator: Next question comes from the line of Terence Flynn (Goldman Sachs). You may proceed.
Terence Flynn - Goldman Sachs: Hi, thanks for taking the questions. Maybe one on cobi and one on cabo, so on cobi just wondering in terms of the sales force sizing that you are thinking about as you head into next year and just want to be sure that was inclusive of your comments with respect to cash usage. And then the question on cabo is with respect to the lung cancer trial I know you can’t give a lot of details here obviously but can you tell us if the combo arm was better than cabo mono arm? Thanks.
Mike Morrissey: Yes. Again, I will answer the second question first. We can’t provide any additional details on the ECOG lung study until that data comes out. So appreciate the question, just bear with us. In terms of the cobi question again the details of the plans around launching commercialization we will get those out to you once – again following Roche’s lead around communicating the plans for sales force sizing, those kinds of things. That being said, we have taken into account in terms of the guidance we gave today for 2015, I think a pretty healthy basis for the cobi expenses as well. So, we think we have that covered and we will go from there.
Terence Flynn - Goldman Sachs: Thank you.
Operator: (Operator Instructions) And our next question comes from the line of Michael Schmidt (Leerink). You may proceed.
Jonathan Chang - Leerink: Hi, it’s actually Jonathan Chang stepping in for Michael Schmidt. Thanks for taking my questions. First, for the E1512 trial, can you tell us about any biomarker analysis that was conducting the trial, for example, was RET mutational status evaluated?
Gisela Schwab: So, there are – excuse me, a biomarker program associated with this study in particular as it relates to MET and data with regard to that will be presented at a future date.
Jonathan Chang - Leerink: Great. And then lastly on cobimetinib are you considering or have you considered monetizing your stake in cobimetinib? Thanks.
Mike Morrissey: Yes, it’s Mike. Yes, our position right now is to move forward with a co-promote. We think it’s a very valuable asset not only in the context of the combination with Vemurafenib in this first melanoma indication, but certainly looking at the broader program that Roche and Genentech are pursuing, including a combination with their PDL1 antibody. So, we are excited to have a second compound. In the mix here, we are looking forward to having the NDA filed by Genentech in the U.S. in 2014 and then to push forward with hopefully commercializing the drug in being involved in that promotion in 2015.
Susan Hubbard: Hey, operator. Do we have anymore questions?
Operator: At this time, there are no further questions. And I would like to turn the call back over to today’s host, Ms. Susan Hubbard. Ma’am?
Susan Hubbard: Okay, thank you very much and thanks everybody for joining us today. We appreciate all of your calls and your attention and we are happy to take any follow-up questions you may have after we conclude this call.